Operator: Greetings. And welcome to the Cemtrex’s Third Quarter 2024 Financial Results Conference Call. At this time, all participants are in listen mode only. A question-and-session will follow the formal presentation. As a reminder, this conference is being recorded. Before we begin the formal presentation, I would like to remind everyone that statements made on the call and webcast may include predictions, estimates or other information that might be considered forward-looking. While these forward-looking statements represent our current judgment on what the future holds, they are subject to risks and uncertainties that could cause actual results to differ materially. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our opinions only as of the date of this presentation. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Throughout today’s discussion, we will attempt to present some important factors relating to our business that may affect our predictions. You should also review our most recent Form 10-K and 10-Q for a more complete discussion of these factors and other risks, particularly under the heading Risk Factors. A press release detailing these results was issued this afternoon and is available in the Investor Relations section of our company’s website, cemtrex.com. Your hosts today, Saagar Govil, Chief Executive Officer; and Paul Wyckoff, Chief Financial Officer, will present unaudited results of operations for the fiscal third quarter ended June 30, 2024. At this time, I will turn the call over to Cemtrex Chief Executive Officer, Saagar Govil.
Saagar Govil: Thank you, Operator. Good afternoon, everyone. I’m pleased to welcome you to today’s third quarter 2024 financial results conference call. We continue to see momentum in our segments during the third quarter, sustaining revenue year-over-year at $14.7 million, significant demand for AIS products and services drove a 49% increase in revenue to $8.5 million, which was offset by decreases in Vicon revenue, primarily due to the delay of multiple projects. Operating loss for the third quarter was $3.2 million, compared to operating income of $0.1 million a year ago, mainly due to decreased gross profit in our Security segment and increased G&A expenses. The operating loss for the nine-month period was $5 million, compared to $1.5 million a year ago, despite the higher sales. However, these results include approximately $2 million in one-time expenses related to employee related one-time charges and legal expenses, and some bad debt write-offs. We remain committed to our goal of achieving a full year operating profit and are working hard to drive revenue while maintaining tight cost controls. In our Security segment, despite project delays, the team at Vicon continues to push the deployment of new technologies and products with investments into sales and marketing resources that we believe will drive sales over the next several quarters. We also were able to reduce our inventory by over $1 million this fiscal year as we strive to make our operations more efficient. We expect with the launch of the innovative new cloud security platform Anavio, along with new technologies to be release later this year and continued improvements to our core software platform Valerus, we are confident that in fiscal year 2025, Vicon will see strong growth in revenue. Our industrial Services segment delivered another strong quarter on orders from leading companies, building a pipeline of growth that we believe will produce a record year of revenue. We continue to believe with additional orders ahead, AIS has the potential to reach more than 30% annual revenue growth in fiscal year 2024, with further growth in fiscal year 2025. During the quarter we took the opportunity to improve our balance sheet with a $10 million upsized underwritten public offering, of which a portion of the proceeds were used to pay off some of our indebtedness. Looking ahead, we are now well positioned for additional growth and to reach our goal of achieve positive operating income in the future. The strengthened balance sheet also provides the ability to explore acquisition opportunities that can enhance our market reach and service capabilities, as we continue to seek long-term value for our shareholders. I will now turn the call over to Paul Wyckoff our CFOs to discuss the financials.
Paul Wyckoff: Thank you, Saagar. Revenue for the third quarters of 2024 and 2023 was a flat $14.7 million. The Security segment revenues for the third quarter of 2024 decreased by 31% to $6.2 million. The Security segment decrease was due to a delay of multiple projects for the segment’s services, products and services, and overall economic conditions in the industry. The Industrial Services segment revenues for the quarter increased by 49% to $8.5 million, mainly due to the increased demand for the segment’s services, as well as additional revenue due to Heisey acquisition completed during the fourth quarter of fiscal year 2023. Gross profit for the third quarter of 2024 was $5.9 million or 40% of revenues, as compared to gross profit of $6.5 million or 44% of revenues for the third quarter of 2023. Total operating expenses for the three months into June 30, 2024 were $9.1 million, compared to $6.4 million in the prior year’s quarter. Operating loss for the third quarter of 2024 was $3.2 million, as compared to operating income of $0.1 million for the third quarter of 2023. The operating loss was primarily due to the decrease in gross profit in our Security segment and overall increase in G&A expenses. Net loss for the third quarter of 2024 was $9.1 million, as compared to a net loss of $1.2 million in the third quarter of 2023. Cash and cash equivalents and restricted cash rose $7.6 million on June 30, 2024, as compared to $6.3 million on September 30, 2023. Inventories decreased to $7.5 million on June 30, 2024, from $8.7 million on September 30, 2023. I will now turn the call back to Saagar for a review of our 2024 outlook.
Saagar Govil: Thank you, Paul. In summary, with a fortified balance sheet from the $10 million upsize offering we closed, we are making steady progress toward our goal of achieving positive operating income in the future. On the acquisition front, we are consistently evaluating potential value-add acquisition opportunities that can further accelerate our growth. As we execute on our strategic initiatives while prudently managing our balance sheet, we are well-positioned for long-term growth. We look forward to providing additional updates in the months to come as we work to build long-term value for our shareholders. I thank you all for attending and now would like to answer your questions. Operator?
Operator: Thank you. [Operator Instructions] We have one who raised hands, which is Richard Arnold [ph]. However, I think the line or he declined from the polling process. As of right now, there is no analyst or participant who is raising hands for any questions. [Operator Instructions] There are no further questions at this time. I would now like to turn the call back over to Mr. Saagar Govil for his closing remarks.
 :
 :
Saagar Govil: Thank you, Operator. I would like to thank each of you for joining our earnings call today and look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any questions, please feel to reach out to our IR firm, MZ Group, who would be more than happy to assist. Thanks, everyone. Bye-bye.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.